Operator: Good morning, ladies and gentlemen, and welcome to WiLAN's Third Quarter 2013 Financial Results Conference Call. [Operator Instructions] I would now turn the meeting over to Tyler Burns, Director of Investor Relations.
Tyler Burns: Thank you, operator, and good morning, everyone. Earlier this morning, WiLAN issued a news release announcing its financial results for the third quarter ended September 30, 2013. This news release is available on WiLAN's website and will be filed on SEDAR and EDGAR. On this morning's call, we have Jim Skippen, WiLAN's President and Chief Executive Officer; Shaun McEwan, WiLAN's Chief Financial Officer; and Michael Vladescu, WiLAN's Chief Operating Officer. Following prepared remarks by Mr. Skippen and Mr. McEwan, analysts will have the opportunity to ask questions. Certain matters discussed in today's conference call or answers that may be given to questions could constitute forward-looking statements. Actual results could differ materially from those anticipated. Risk factors that could affect our results are detailed in the company's annual information form and other public filings that are made available on SEDAR and EDGAR. During this conference call, we will refer to adjusted earnings, adjusted earnings do not have a standardized meaning prescribed by U.S. GAAP. Adjusted earnings are defined in our quarterly and annual filings that are made available on SEDAR and EDGAR. Now, I would like to turn the call over to Jim Skippen. Jim, please go ahead.
James Douglas Skippen: Thanks, Tyler, and good morning to everyone. I first want to touch on a number of third quarter highlights. During the quarter, WiLAN generated revenues of $20.7 million, meeting our guidance for the quarter. We also returned $7.8 million to shareholders in share buyback and dividend payments. In the third quarter, we signed agreements with Alcatel-Lucent and HTC and multiple litigations. These agreements were notable in light of the comments that I made in our last call. In that call, I commented that even if we lose the trial, the story is almost never over. The stories of Alcatel-Lucent, HTC, ended with signed licenses. These agreements added many million to our backlog, and resulted in the dismissal of several litigations, which will decrease our future litigation expenses. Finally, I'm pleased to advise that the Board has declared a quarterly dividend of CAD 0.04 per share for the third quarter of 2013. This dividend will be paid on January 6, 2014 to shareholders of record on December 13, 2013. I would like to now discuss our core licensing programs and recent license signings. In addition to the agreements with Alcatel-Lucent, HTC mentioned previously, early in the fourth quarter, we reached agreements to end litigation with 4 other companies, BlackBerry, HP, Novatel Wireless and Sierra Wireless. To date, over 275 companies of license technologies are on portfolio. The license agreement signed to date have generated over $400 million in revenue since 2006. In this time, WiLAN has reported over $118 million in adjusted earnings. Furthermore, based on agreement signed to date, we've maintained an estimated backlog of between $325 million and $350 million. When we consider the revenue recognized in the estimated value of our backlog, the license agreement signed to date by this team have a value of approximately $0.75 billion. Turning now to our litigations. The signing of agreements with various defendants in the third and fourth quarter resulted in the outright dismissal of 7 litigations and reduced the number of dependents in 2 litigations. As a result, our investment in litigation can be expected to decline significantly. The correspondingly our earnings can be expected to increase in coming quarters. Our guidance for the current quarter, with adjusted earnings forecast, to be between $12.5 million and $15 million in adjusted earnings demonstrates this. I'll now speak to our ongoing litigations. In our litigation against remaining defendants, Ericsson and Sony Mobile, with respect to 3GPP and HSPA technologies, we filed motions related to trial jury’s finding of invalidity and non-infringement. Included in the motions is a request for a new trial. The court has scheduled a hearing for November 21, 2013, in which these motions will be addressed. As this case remains before the court, I will not be making further comments at this time. In October, after reaching agreements to end litigation with Alcatel-Lucent, HTC, HP, Novatel Wireless and Sierra Wireless in our case involving the 802 patent, we went to trial against the one remaining defendant, Apple. Unfortunately for us, the jury decided for the defendant. We obviously disagree with this decision, and we plan to take actions to address what we consider a mistake. This case involves one patent in our portfolio over 3,200 patents in applications, and Apple has been unnoticed for infringing this and other patents for many years, potential royalties owed to WiLAN are not limited to this patent. A key point is that the Apple trial was -- is a tactical setback. It is not a strategic setback. Apple is also a defendant in additional upcoming litigations. One of them, related to the infringement of LTE technologies, is currently scheduled to go to trial in November 2014. Concerning other ongoing patent infringement litigations, the trial involving Toshiba related to multiple digital TV and display-related patents, is scheduled for January 2014. As we all should know or do know, litigation is unpredictable. And we expect some court rulings will occasionally go against us regardless of the merits of our cases. However, it is important to keep in mind that the jury's decision is not necessarily the end of the story. It is also important to fairly balance the new litigations that not gone our way -- a few litigations that have not gone our way initially with the over 275 companies that have licensed technologies in our portfolio. This brings me to the final item that we would like to speak to on today's call. The process that WiLAN's Board of Directors has initiated to export and evaluate strategic alternatives for the company to enhance shareholder value. The Board of Directors strongly believes WiLAN has been pursuing their correct business strategy, although it can always be improved and it must evolve as the market changes. However, we do not believe that our share price accurately reflects the value of the company. It is important to keep in mind that our current business strategy and management team have accomplished many things. These include transforming a bankrupt company with no employees, no revenues, a handful of patents and no cash in the bank and we're one of the world's most respected and successful patent licensing companies, with over 275 licenses, approximately $0.75 billion in licenses signed, a strong patent portfolio of over 3,200 patents in applications and one of the world's strongest licensing and patent teams. As outlined in our press release on October 30, strategic alternatives to be considered and include changes for our dividend policy, or other points of returning capital to shareholders. The acquisition of through disposition of assets, joint ventures, the sale of the company, alternative operating models were continuing with the current business plan among other potential alternatives. I believe it is important to point out that it can be no assurance that the strategic review process will result in the completion of any transaction or other alternative and no timetable has been set for the completion of this review. As this is customary with a strategic review process, we do not intend to comment further regarding the process, until further disclosures appropriate or required by law. The board and our advisors will work diligently through this process to assess and select a strategy that we believe will deliver the greatest value to shareholders. To conclude, the license agreement signed with Alcatel-Lucent, BlackBerry, HP, HTC, Novatel Wireless and Sierra Wireless ended lengthy programs to bring these companies under license to wireless technologies on our portfolio. Our financial guidance for the current quarter, signals the positive impact that these agreements are expected to have on the financial performance of our business going forward. The path to achieve the end goal of license agreement, never follows a straight forward line. Understanding that, our team has the expertise, experience and confidence necessary to see our programs through the successful conclusion. Our efforts to bring Apple, Ericsson, Sony Mobile and many other companies under license continue a strong result. The components of value in our business include our strong balance sheet, our estimated $350 million in backlog from signed license agreements, in addition to our current business prospects, and the residual value of our broad intellectual property portfolio. Add to these the value of our team, a team that has signed license agreements with an estimated $0.75 billion, the value of our business prospects and the value of our large propriety portfolio. In no way do we think our share price fairly values our business, and that's our Board of Directors has initiated review a strategic alternatives to enhance shareholder value. With that, I will now turn things over to Shaun to discuss our financial results in more detail. Shaun?
Michael Shaun McEwan: Thank you, Jim, and good morning, everyone. Revenues for the third quarter, as Jim outlined were $20.7 million and they met our guidance. In the quarter, 3 licensees each accounted for more than 10% of revenues as compared to 2 in the same period last year. In the third quarter of 2013 and 2012, the top 10 licensees accounted for 86% of revenues. Looking at our operating expenses briefly. The cost of revenue expenses for the third quarter of fiscal 2013, totaled $23.9 million. Patent licensing and litigation expenses, both cash costs in this category, were $1.7 million and $14.4 million, respectively. Cost of revenue expenses in the quarter also included $7.5 million in noncash expenses, which is principally amortization of patents. Comparatively, the third quarter of last year, the cost of revenue expense totaled $14.8 million, and included licensing expenses of $1 million, litigation expenses of $7.1 million and noncash expenses totaling $6.6 million. In the 3-month period ended September 30, litigation expenses, at $14.4 million, were within our guidance for the quarter and accounted for virtually all of the increase in cost of revenue expenses year-over-year. With a large number of litigations resolved during the fourth quarter, it can be expected that our litigation expenses will be reduced in the fourth quarter of 2013, and all outlined that into the guidance in a moment and beyond commensurate with the overall level of litigation activity undertaken by the company. R&D expenses in our third quarter were $2.2 million or approximately 11% of revenue and were consistent with the prior year period. Our research expense, which consists principally of staff cost, was $397,000 in the quarter. We also spent approximately $1.5 million on the management of our patent portfolio, expenses relating to the prosecution and maintenance of our patents that we consider as development expenses. Patent management expenses increased over the comparative period by slightly more than $300,000. This increase is due in part to higher maintenance and prosecution fees resulting from the acquisition of patents completed in 2012, and early 2013. WiLAN's responses to post grant reviews by the U.S. Patent Office, which began after the third quarter of 2012, also contributed to this increase. Our marketing, general and administrative expenses in the third quarter totaled 2 -- totaled $3.4 million and included $2.8 million in overhead expenses, which are cash-oriented and $592,000 in noncash charges for depreciation and stock-based compensation expense. Comparatively, in the third quarter of 2012, MG&A expense totaled $3.3 million, which was comprised of $2.5 million in overhead expenses and noncash charges of $741,000. The marginal increase in MG&A year-over-year is predominantly related to increased staff cost. For the 3 months ended September 30, 2013, WiLAN recorded a net income tax recovery of $1.3 million, as compared to an income tax expense of $645,000 in the previous period. The current income tax expense of $1.3 million booked in this quarter relates to taxes withheld on royalties received from foreign jurisdictions for which there is no treaty relief. As a result of all of the above, WiLAN's GAAP earnings amounted to a loss of $6.5 million or $0.05 per share in the 3 month period ended September 30, 2013, as compared to GAAP earnings of $2.2 million or $0.02 per share in the same period last year. Adjusted earnings, our non-GAAP measure that assists in evaluating the performance of the business by eliminating certain noncash and nonrecurring items, for the third quarter amounted to a loss of $263,000 or $0 per share on a basic level, which was within our guidance range of between a loss of $650,000 and earnings of $500,000. Quickly turning our attention to the balance sheet for a moment, we completed the quarter with $142.3 million in cash, cash equivalents and short-term investments. This represents a decrease of $34.6 million in the net cash position at last year end, which is largely explained by more than $20 million being returned to shareholders through dividend and share buybacks and use of cash from operations, principally increased accounts receivable in this quarter of $11 million. The increase receivables positioned at quarter end is due to the timing of the receipt of payment for fixed license fees, most of which has been collected subsequent to quarter end. During the 3 months ended September 30, 2013, the company acquired certain patents for future consideration. The patent finance obligation liability is based on the expected payments scheduled for this purchase and the appropriate discount rate for the term of this obligation. The total obligation is $22.1 million, of which $1.9 million is considered current. The company moved its Canadian headquarters in September to a facility that would permit continued growth that the first quarter cost significantly reduced from its previous location. This necessitated investment in furniture and equipment to approximately $1.5 million and this level of capital expenditure is not expected to recur in the future. During the third quarter of 2013, specifically, operations used $6.7 million of cash and the company paid dividends totaling $4.8 million, and repurchased shares totaling $2.9 million. These 3 items largely account for the change in cash position over the third quarter of 2013. Lastly, I will discuss our guidance for the fourth quarter of 2013 ending December 31. For that quarter, we are expecting our revenues to be at least $28.4 million. This revenue guidance does not include the potential impact of any additional royalty reports to be received between now and the end of the quarter or any new agreements that may be signed during the remainder of this quarter. Operating expenses for the fourth quarter are expected to be in the range of $13.5 million to $16.5 million, of which $6.3 million to $8 million is expected to be litigation expense. For the fourth quarter of 2013, and assuming no additional agreements are signed, adjusted earnings are expected to be in the range of $12.5 million to $15 million. This concludes my review of the financial results for the third quarter ended September 30, 2013. Turn the floor over to you, Tyler.
Tyler Burns: Thank you very much, Shaun. We will now move to the Q&A portion of the conference call. [Operator Instructions] Operator, may we have the first question, please?
Operator: [Operator Instructions] Our first question there will be coming from Justin Kew of Cantor Fitzgerald.
Justin Kew - Cantor Fitzgerald Canada Corporation, Research Division: First question I had was just on how we should think about how the revenues will be coming over the next couple of quarters. You talked about revenue components that may not recur, or not expected to recur in future periods, and should we kind of see the revenue pattern that we saw in 2011, kind of play out again over the next 4 to 6 quarters?
James Douglas Skippen: Well, I don't know if I can answer that directly. I'll give you a little bit of assistance, though, or some assistance. As you know, we now give guidance just one quarter ahead, I'll tell you this. Going into 2014, we have substantially more in the bag than we had going into 2013. So our base level of revenues is quite a bit higher than it was going into 2013. If I look for instance to Q1, Q1 we expect -- 2014, we expect to be quite a bit higher, substantially higher than Q3 of 2013. But it's not yet at the level that Q4 is at of 2013. And we have some work to do to get it up to that level, and of course, our teams are very active. I would -- we've many license discussions going on, we have offers on the table from companies, so hopefully, we'll -- our revenues, our backlog and the new bookings we make, will make 2014 a strong year. So, hopefully, that helps you a little bit.
Justin Kew - Cantor Fitzgerald Canada Corporation, Research Division: That does help. Just in terms of how do you think about the litigation expense and kind of marrying that with activity, I mean, is the Toshiba coming up early in 2014 and then LTE, Apple later in the year. So should we expect kind of litigation expense to kind of follow through with that in terms of kind of being a little higher in Q1, but then settling down over Q2, Q3 and then ramping up in Q4 again?
James Douglas Skippen: No, if nothing else changes, that would probably be fair, of course, things could change very quickly. Things can settle. I don't -- We don't anticipate the very high level of litigation activity we have had over the last year going forward into 2014. So I would be very shocked if expenses were closed -- were not substantially reduced in 2014 from a litigation front, from what they were in 2013, but I'd like to see -- but generally, just now to say the way we have described it, if nothing else changes would be a fair way to describe it. Although even if nothing changes, a litigation overall should be substantially less than it what this year.
Operator: Our next question is coming from Eyal Ofir of Clarus.
Eyal Ofir - Clarus Securities Inc., Research Division: Just talking about the trial you fought for various motions for the trial you lost in July. How should we think about, I mean, if you get a retrial there, I mean, you already signed Alcatel and HTC, so what happens subsequent to that? And then, obviously, I am some still targeting Ericsson and Sony there, may be speak to that, and also my second question is just related to in the past, you've talked about potentially they are call it joint ventures or larger partnerships in those traditional Gladios, where you actually partner with a large OEM with thousands of patents, are those are still -- discussions still ongoing, and maybe give us an update there if you can?
James Douglas Skippen: Sure. Okay. So firstly, on the trial. One of the things we have asked the judge to do in Tyler is grant us a new trial, on the basis that we feel that the jury was misled on certain things by the other side. If a new trial is granted, then the only parties in the trial will be Ericsson and Sony Mobile because we had settled all our litigations with both Alcatel and HTC, so we won't be having a new trial with those 2 parties. It will only be the 2 remaining parties that remain unlicensed.
Eyal Ofir - Clarus Securities Inc., Research Division: And then that scheduled for you said November, what day of November?
James Douglas Skippen: I know what...
Michael Shaun McEwan: 21.
James Douglas Skippen: 21 -- November 21. We have an oral hearing. The other question you've asked about partnerships with larger companies to take on past portfolios, and I can tell you that there are very active discussions going on right now, and we're hopeful to conclude a transaction in a not too distant future, and -- but until it's done, it's not done. But we do have a lot of activity going on there, and I'm hopeful that we'll have something before too long that to announce.
Eyal Ofir - Clarus Securities Inc., Research Division: Okay. And then you just talked about the -- your ongoing licensing discussions, and you mentioned in your prepared remarks, a loss in the trial, obviously, it does not have an impact on you guys from an actual negotiation standpoint. Can you just talk about have you seen any changes in the volumes of discussions you're having or the potential of them actually getting closed in terms of the other size, willingness to negotiate with you?
James Douglas Skippen: Well. Okay. So let me just, I mean, the way you characterize that, I don't think you characterized my comments exactly, correctly. Obviously, a loss is not as good as a win, in terms of the ongoing dialogue with the other side. So to say there's no effect, I don't think that's what I said. What I did say is that it is a tactical setback, it's not a strategic setback. And I still believe that just as we licensed the WiFi industry, we licensed the Bluetooth industry, we will license the industries that where we have strong patent portfolios, and that's means everyone. It's just a matter of time. And we can't confuse a tactical setback with a strategic change in the situation. On the other question about dialogue with -- parties, no, what we have got a very high number of ongoing discussions, we have a number of offers on the table from cash offers on the table. Parties -- business continues. And I think that people that we are dealing with are fairly sophisticated, they understand that there is always uncertainty in going to a jury or going to a judge, and occasionally, every company has unexpected setbacks, but that doesn't diminish the fact that we have a very strong portfolio and many companies understand that -- or willing to take a license, it really is just a matter of what the price is.
Operator: Our next question is coming from Todd Coupland of CIBC.
Todd Coupland - CIBC World Markets Inc., Research Division: Just thinking about 2014, without talking specific numbers, but what qualitatively drives revenue above the run rate x, the onetime settlements in Q4. It is immediately, obvious, given you've just finished a lot of trials, and won some, and lost some, and settled some. But it seems like you need to recharge the licensing program pipeline and ramp back up. But maybe that impression is wrong, but that's how I'm looking at 2014 at this point. Please update that if you can?
James Douglas Skippen: Okay. I'm not 100% sure, I understood the question, but I will try to answer it and you can ask it again if I haven't really answered it adequately. So in Q3, we were at $20.7 million in revenues. Q4, we are $28.4 million in revenues, so almost a 50% increase. A portion of that, not all of it, but a portion of it, certainly less than half, of the increase is onetime in nature. But there is a run rate of revenues that's going forward. And because of that, we already know 2014, our base situation is higher than it was quite a bit higher than what it was going into 2013. But we will still need to sign additional licenses and our teams are active, we are going to sign additional licenses, and we're quite confident about that. And so I -- but we do have a strong base position in each quarter of Q -- in each quarter of 2014 to build up.
Todd Coupland - CIBC World Markets Inc., Research Division: Okay. That's fine Jim. I guess, what I was asking is beyond what you've signed, does the new program pipeline need to be recharged or is you are not in a licensing discussions that are ongoing to drive material growth above whatever the new baseline is, 24 million, 25 million a quarter or whatever it happens to deal?
James Douglas Skippen: Yes. Okay. Sure. So, when I look at the unlicensed parties in the handset area, the base station area, the network management area, and now the semiconductor area, which is coming on for us, I can see lots of imminent growth opportunities. Now imminent for me might be the next 6 months to a year, but there's a lots of opportunities, I think, there to sign. The other thing is that the seeds we planted in Gladios are starting to germinate and we're seeing higher cash offers from some of the people that Gladios is trying to license. So it feels to me like there's lots of activity, we've just hired a guy who is a Senior Vice President for many years, [indiscernible] He is a very experienced guy. I think he has got some good things going on. We hired another guy, who is heading up the unit, who was with HP for many years, he is getting things going. So I think you are going to see more activity than you might think.
Operator: [Operator Instructions] Our next question is coming from Daniel Kim of Paradigm Capital.
Daniel Kim - Paradigm Capital, Inc., Research Division: James, I understand, you can't really comment on the Apple case, but just can you walk me through this potential steps that should happen, given the ruling was based on both non-infringement and found, certain claims are found invalid, is the first step then to go back to the Patent Office to validate these claims or would you do that potentially in parallel, if you were to appeal this case?
James Douglas Skippen: No. The steps that we would take would, typically, be these. And we are still formulating them, I can't say that we are for sure going to do some things, but some of the options are these. One, we could go to the judge and say, "Judge, for whatever reason the jury made a decision that as a matter of law is clearly wrong and you should overrule it as a matter of law and you can do one of 2 things, you can either say no reasonable jury could have come to that decision, so I'm going to replace their decision with mine and they can do that on both validity and infringement." So it's possible that the judge might say, and our understanding with the jury is for whatever reason they were misled and I'm replacing their decision with mine and I'm going to find that the patents are valid -- or patent is valid and it is infringe. If that happens, we will lead a new trial on damages. So that's one possibility. Another possibility is that the judge just orders a new trial on everything and says, "The jury was misled and no reasonable jury could come at this conclusion besides a new trial is appropriate." In which case we could have a new trial and everything. If the judge doesn't grant us those remedies, then we would probably be writing to asking the Federal Circuit, a court of appeal to look at infringement and validity. And we think we have very strong position there and this Federal Circuit is commonly overturns these types of decisions. Assuming they did overturn, they would send it back to the court and there would be a new trial on, certainly, on damages for sure and maybe on infringement or validity -- and maybe not on infringement or validity. It depends on what this Federal Circuit rules. So those are the possible menu options that are available to us right now.
Daniel Kim - Paradigm Capital, Inc., Research Division: Great. If I may, just a follow-on question. Jim can you comment on timing of any of those scenarios then, please?
James Douglas Skippen: Yes. We had 30 days from when the judgment was registered to file something and make a decision on that. And that 30 days expires more or less at the end of November. We will file -- what we need to file by that time. The court will -- the other side will then get a chance to respond, and I would anticipate assuming the court orders, a hearing on it that the hearing would take place in January, February -- that timeframe of next year. Although, it could be a little bit later or it could be earlier, but that's what I would expect. And depending on what the court does, there are number of different possibilities.
Operator: Our next question is coming from Ralph Garcea of Global Maxfin.
Ralph Garcea - Global Maxfin Capital Inc., Research Division: Just you've mentioned Gladios in your multinational discussions, but did the announcement of the strategic review process impact -- what Gladios was driven? I know they were far ahead on some of your partnerships there? And the ongoing discussions with the multinationals?
James Douglas Skippen: Well. So Gladios, really, is more focused on working with smaller companies and smaller inventors, and I don't think their business is being impacted. But I think, it's a question for some of, maybe, the larger companies that might want to partner with us that they would be -- that might change the dynamic if we were sold or something like that happens. So, I have to be honest that it is a factor that comes up in the -- has been coming up in the discussions, but we're dealing with it. I don't think that it's a fatal issue.
Ralph Garcea - Global Maxfin Capital Inc., Research Division: And then just on the multinational. I mean, if you do sign an agreement, do you normally get 1 or 2 headcounts with that? Or do you have enough bandwidth with your current headcount to handle a -- observing a larger portfolio?
James Douglas Skippen: Yes, I think we have enough bandwidth, but I think they were always open to taking on a few people that or one or more people that know the portfolio well, and that has been something that has come up in some of the discussions we have had.
Operator: Our next question is coming from Robert Young of Canaccord Genuity.
Robert Young - Canaccord Genuity, Research Division: I think you've answered this already, but I am going to ask it again, just wanted to get your feedback on how variable the litigation guidance you've given? You've said that if something happens in the Apple trial it'll happen in January or February, likely. Are there any things that can happen with the 3GPP trial and the Apple trial, some of the tactical steps you might take, which might impact that litigation guidance?
James Douglas Skippen: Well, again, the litigation guidance we gave is for one quarter. And I think we were $6 million, I think is...
Michael Shaun McEwan: $6.3 million to $8.0 million a quarter.
James Douglas Skippen: Yes. So I don't expect -- I except that our guidance for Q4 is likely to be fine. In terms of going forward, we'll have to see what happens because if a new trial is ordered, that could change things. If we settle with someone that could change things. So I don't -- at this point, that $6 million to $8 million a quarter, it is -- I think litigation for 2014 is likely to be in that range or less. But we'll have to see depends on what happens and what the circumstances are. It's -- at this point, we think, for sure, it's going to be less overall than it has been in 2013.
Robert Young - Canaccord Genuity, Research Division: All right. Can you -- is there a baseline level of litigation expense in any given quarter, like a quarter where you don't have any special projects or special litigations underway?
James Douglas Skippen: Yes. It really doesn't work that way. I don't think it -- it's difficult to predict because it's something even we don't have something like a Markman hearing or a trial or some big event that's in the quarter, that can be very, very heavy discovery that's going on or depositions where we are interviewing witnesses. And so it's hard to predict, but again I do think that the level of litigation expense in Q4, if you annualize that, I think it's going to be that or less for the balance of the year unless things change. And it could change. We have 2 new trials ordered in the Apple matter and the Ericsson matter. And that may increase expenses somewhat. Even then I still think it will be less overall than it has been, because we've settled, I mean, you remember, we've got 6 defendants in 15 matters of the litigation counter. So that's a lot less litigation that's going on.
Robert Young - Canaccord Genuity, Research Division: Okay. Second question from me would be if you could talk a little bit more about the lobbying effort that you had talked about last quarter, you said that the -- you're going to trying to do something more in that direction and then just a little quick one, the account receivables is more than double the highest quarter, I think, I have seen in history as far back as I target, so is that just the like of that onetime set of factor, that onetime payment in Q4 or is there something else that play there?
James Douglas Skippen: Okay. So I'm actually going to ask Tyler, if he speaks to the lobbying effort because he has been very active working with a number of companies, and we're working that, do you mind Tyler just speaking that briefly?
Tyler Burns: Yes, I can take a few brief moments. We are in active discussions with the number of companies that have related business models as well as more, say, potential investors and individual inventors, smaller companies, et cetera. There's certainly is a great interest for companies to get involved and bringing out a message of importance of expecting Intellectual Property, et cetera. So there are more activities that are underway, and I would hope to be able to speak in more detail in the next few weeks, actually. We’ve just stepped, it's very much bubbling, and we would hope to be in a position to have some more concrete actions in the next month or so.
Robert Young - Canaccord Genuity, Research Division: And, Shaun, maybe you could speak of the accounts receivable.
Michael Shaun McEwan: Yes. It's just a matter of timing, we have had a few normal licenses that are regular licensees for a long period of time, the payment slipped by a couple of days or as much as a week, so it's really an abnormal quarter in terms of that respect, but the amounts collectable or collected.
Operator: Our next question is a follow-up coming from Eyal Ofir of Clarus.
Eyal Ofir - Clarus Securities Inc., Research Division: Just on the comments you made about the options in front of you related to the Apple trial, how long is that process going to take and if it does go to an appeals court, how long on average does that normally take as long? Use all estimates, I'm not expecting specifics, but just can you give me an idea?
James Douglas Skippen: Yes. So, I think, we will have some better visibility on what's going to happen with Apple at the trial level in January, February, thereabouts in 2014. But no guarantees on that, but that's what I would guesstimate. Appeals are now taking about a year. So if we have to appeal, we are talking probably a year or so before we have a resolution of that in hand, although we will have to file our documents within the year, so hopefully, that helps to understand.
Eyal Ofir - Clarus Securities Inc., Research Division: Okay. And then if there is a retrial or the judge makes a different decision, that happens fairly quickly then from the January and February timeframe?
James Douglas Skippen: Well. On the retrial in either Tyler or Marshall, it will depend on the judge's docket, when he has room, it could be very quickly. I'm sure you would be trying to schedule it sooner or rather than later. But that's unfortunately to some extent up to the judge, but I would expect it sooner rather than later.
Operator: I will now turn the floor back over to Mr. Burns for any additional or closing comments.
Tyler Burns: This concludes WiLAN's third quarter 2013 financial results conference call. A replay of the conference call will be available until 11:59 p.m. on February 6, 2014. Instructions for accessing the replay of this conference call can be found on the news release that was issued earlier today, that is available on WiLAN's website. Thank you very much for attending.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day.